Operator: Good morning and welcome to TPG Specialty Lending, Inc. Fourth Quarter and Full Year December Ended 31, 2018 Earnings Conference Call. Before we begin today's call, I would like to remind our listeners that remarks made during the call may contain forward-looking statements. Statements other than statements of historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in TPG Specialty Lending, Inc.’s filings with the Securities and Exchange Commission. The Company assumes no obligation to update any such forward-looking statements. Yesterday, after the market closed, the Company issued its earnings press release for the fourth quarter and full year ended December 31, 2018, and posted a presentation to the Investor Resources section of its website, www.tpgspecialtylending.com. The presentation should be reviewed in conjunction with the Company's Form 10-K filed yesterday with the SEC. TPG Specialty Lending, Inc.'s earnings release is also available on the Company's website under the Investor Resources section. Unless noted otherwise, all performance figures mentioned in today's prepared remarks are as of and for the fourth quarter and full year December 31, 2018. As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Josh Easterly, Chief Executive Officer of TPG Specialty Lending, Inc.
Josh Easterly: Thank you. Good morning, everyone, and thank you for joining us. Let me start by reviewing our full year and fourth quarter 2018 highlights and then I will hand it off to my partner and our President, Bo Stanley to discuss our origination and portfolio metrics. Our CFO, Ian Simmonds, will review our financial results in more detail, and I will conclude with final thoughts before opening the call to Q&A. After market closed yesterday, we reported our strongest quarterly net investment income per share, since inception, of $0.67, resulting in a full-year net investment income per share of $2.25. Our fourth quarter and full year net income per share was $0.22 and $1.86, respectively. The difference between this quarter’s net investment income and net income were primarily driven by $0.23 per share of unrealized losses from the impact of widening credit spreads and the valuation of our portfolio and $0.29 per share of reversal of net unrealized gains from full investment realizations. This was partially offset by unrealized mark to market gains of $0.10 per share related to our interest rates swaps, resulting from a flattening of the forward LIBOR curve during the quarter. Our return on equity base from net investment income for the quarter and full year were 16.4% and 14.0%, respectively. Return on equity base from net income for the quarter and full year was 5.3% and 11.6%, respectively. For the quarter, if we’re able to isolate the unrealized losses related to credit spread movements of $0.23 per share and unrealized gains related to our interest rates swaps of $0.10 per share, our annualized Q4 ROE on net income calculates to 8.5%. Similarly, for the full year, if we’re able to isolate the impact of Q4 spread movement and the full year cumulative unrealized losses related to our interest swaps of $0.03 per share, our 2018 ROE on net income calculates to 13.2%. As it stands today, based on the year-to-date tightening of credit spread, we would expect to see a partial reversal of fourth quarter’s unrealized losses related to credit spread widening in Q1. Note that our net income for this quarter was burdened by $0.29 per share of reversal of unrealized gains from the prior quarter, predominantly driven by our Northern Oil investment. This was because our prior quarter’s net income included unrealized gains for investments where we had visibility on collecting contractual prepayment fees, consistent with fair value accounting principles. Upon the prepayment of those investments this quarter, we recognize our prepayment fees in investment income and an unwind, we expect to have unrealized gains. Said, another way, the prepayment fees in Northern Oil will pull forward in Q3’s net income and as a loan we paid this quarter, those fees went into net investment income and burdened this quarter’s net income to the unwind of those unrealized gains. Moving back to the results. Reported net asset value per share at year-end was $16.25 compared to $16.42 at Q3 and $16.06 for the yearend 2017. The latter two metrics, each after giving the effect of supplemental dividends declared for those periods. Factors contributing to net asset value movement during Q4 including the over earning of our base dividend through NII, which was offset by the reversal of net unrealized gains from investment realizations during the quarter, as discussed. In addition, there was a negative impact of credit spreads widening on the valuation of our portfolio, which was partially offset by mark to market gains on our interest rate swaps. Yesterday, our Board announced that first quarter 2019 base dividend of $0.39 per share to shareholders of record as of March 15th, payable on April 15th. Our Board also declared a Q4 supplemental dividend of $0.12 per share to shareholders of record as of Feb 28th, payable on March 29th. As per our variable supplemental dividend formula, the amount declared this quarter was a lower 50% of this quarter’s net investment income in excess of the quarterly base dividend, an amount that resulted in no more than $0.15 per share decline in net asset value over the current and preceding quarter. Ian will discuss the calculation mechanics in more detail later. When we introduced our variable supplemental dividend framework in Q1 2017, our objective was to maximize shareholder distribution, matching the earnings power of our business while preserving the stability of net asset value. We are happy with how the framework has worked to-date. Through earnings generated across full year 2018, we declared a total of $0.31 per share of supplemental dividend while increasing net asset value per share pro forma for the impact of supplemental dividend from $16.06 to $16.13 per share, this represents a 5% increase in dividend declared year-over-year and a 20% increase in total dividends over the full annual base dividend of $1.56. Our dividend payment has allowed us to drive consecutive annual increases in our book dividend yield, which was 10.3% in 2016, prior to the introduction of the supplemental dividend framework, 11.2% in 2017 and 11.6% in 2018, all while growing net asset value per share. This is made possible by our focus on generating consistently strong return -- ROEs. Before discussing our results in detail, I would like to make a comment on the market conditions. As we approach the end of Q4, there was considerable winding of risk premium across asset classes due to concerns about global growth, U.S.-China trade uncertainty and policy. From Q3 to Q4, LCD first and second lien spreads widened by 112 basis points and 81 basis points respectively. In December, a record $11.6 billion of loan retail outflows representing 9% [ph] of retail AUM led to 3 point plus decline in loan prices, resulting in the lowest price levels since early 2000s. Note that the wider risk premiums were also reflected in trading prices across the BDC sector. While most of our portfolios comprise of illiquid middle market loans, we believe changes in liquid credit risk premiums reflect the cost of deals in the market including those about the probably of defaults, loss due to default and required compensation to take such risks. As a matter of policy, we reflect movement in liquid credit risk premiums in combination with our assumptions on the weighted average life of our loan investments and fair value of portfolio every quarter. Not only is this consistent with fair value accounting principles, it also provides us with valuable risk management insights and our early warning signs into our portfolio and investment opportunities. With that, I’d like to turn the call over to Bo who will walk you through our portfolio activities and metrics in more detail.
Bo Stanley: Thanks, Josh. 2018 was our second highest year of originations since inception at $2.2 billion, primarily due to the larger financings completed during the first half of the year. During Q4, we generated gross originations of $373 million across four new investments and upsizes to six existing portfolio of companies. $204 million of gross originations were allocated to affiliated or third-party funds and $22 million consisted of unfunded commitments. Over 60% of this quarter's gross originations were in existing borrowers that we know well and over 85% were on exited transactions, which allows us to have greater control over the loan structuring and monitoring process. After repayment activity, this was our highest quarterly level of repayment since inception at $383 million from eight full realizations, two partial paydowns and one partial sale down. [Ph] This was driven by a combination of M&A activity and opportunistic refinancings, resulting in strong activity related fee contributing to this quarter’s top line results. Underlying middle market lending environment throughout 2018 continued to be highly competitive, given the ongoing strength of the private debt fundraising which at year-end reached a record level of $280 billion in dry powder according to Preqin. Given the supply-demand imbalance, there have been instances of what we believe to be irrational behavior where market participants were willing to lend at prices inconsistent with underlying deal dynamics. The need for an illiquidity premium compared to the broadly syndicated loan market and associated spread required for today’s late cycle environment. One such example during the quarter, we were refinanced out of our debt investment at 103 call protection by co-lender who despite having the benefit of the call protection was willing to reprice the facility at a spread that was 225 basis points tighter than existing levels with greater transaction leverage. For us, we’re not motivated by this desire to gather assets so t gain market share, but rather by the desire to generate the best risk-adjusted return for our shareholders. Circling back to our portfolio, total repayment levels for 2018 were elevated at $790 million, which against total findings of $817 million resulted in a net portfolio growth of $27 million for 2018. Given the highly competitive environment, we believe our ability to grow the portfolio while improving the credit quality and metrics of our portfolios speaks to depth and breadth of our platform’s origination investment capabilities. Year-over-year we decreased our junior capital exposure and improved our average interest coverage and net leverage profiles of our core portfolio companies. Meanwhile, our exposure to non-energy cyclical industries remain low at 4% of the portfolio at fair value, consistent with the prior year and our energy exposure decreased from 5.5% to 2.3% of the portfolio. We continue to have no investments on nonaccrual status at year-end, and the overall performance of our portfolio improved year-over-year from 1.22 to 1.14, based on our assessment scale of 1 to 5 with 1 being the highest. At year end, our portfolio was well-diversified across 46 portfolio companies and 17 industries. Our largest industry exposure continues to be the business services at 19.3% of the portfolio fair value followed by financial services at 19.2% of the portfolio at fair value. Note that our business services portfolio companies consist primarily of business with diversified revenue characteristics, and the vast majority of our financial services portfolio companies are B2B integrated software payments businesses that are diversified by sectors with limited financial leverage and underlying bank regulatory risk. Given our commitment to our direct origination strategy at year-end, 98% of our portfolio by fair value was sourced through non-intermediated channels. This supported our ability to structure effective voting control on 84% of our debt investments and average 2.1 financial covenants per debt investment consistent with historical levels. The fair value of our portfolio as a percentage of call protection remains stable at 95.9%. This metric means that we have over 4 points of additional economics, should our portfolio get repaid in the near-term. Our focus on structure and call protection in our debt investments has been one of the key drivers of outperformance versus our full year guidance during the course of 2018. As for portfolio yields, at year-end, the weighted average total yield on debt and income-producing securities and amortized cost was 11.7% compared to 11.3% in the prior quarter. This increase was primarily due to the increase in the effective LIBOR across our debt investment and to a lesser extent the yield impact at new versus exited investments, which were 12.2% and 11.2%, respectively. Now, let me highlight some themes in our portfolio activity during 2018. Nearly 65% of our gross originations this year were sponsored transactions. These are primarily investments in business models characterized by higher revenue visibility, strong cash flow margins and high returns on invested capital. Here, our philosophy is to invest and we can differentiate our capital whether it’s through our platform’s deep sector knowledge and relationships, and/or ability to move quickly and certainty of execution. The remaining 35% of our 2018 originations were what we call opportunistic capital deployment in areas where our platform's ability to underwrite and navigate complexity and process risk, allow us to create excess returns across our portfolio. Examples since inception include our investments in upstream E&P, retail ABL and secondary market purchases during periods of market volatility. These also include opportunities arising from the challenging regulatory environments for banks such as our larger financings iHeart and Ferrellgas. Since inception through year-end 2018, the gross unlevered IRR in our fully realized investments that we designate as opportunistic in nature was 28%, which compares to a gross unlevered IRR of 14% across the remainder of our fully realized investments over this period of time. Depending on the market environment, the mix between our sponsor-oriented versus opportunistic origination activity may change, based on what we believe we can find the best risk-adjusted return for our shareholders. We’re optimistic about our near-term pipeline and we continue to develop teams and finding situations that reward our ability to underrate and manage complexities such as retail ABL and upstream E&P. As you know, we don’t control the timing of our portfolio repayments, which seemed to come in late in Q4 but to provide a sense of our full year end activity, our net funding year-to-date stands at approximately $100 million. With that, I would like to turn it over to Ian.
Ian Simmonds: Thank you, Bo. We ended the fourth quarter and fiscal year 2018 with total investments of $1.71 billion, total debt outstanding $624 million and net assets of 1.06 billion or $16.25 per share, which is prior to the impact of the $0.12 per share supplemental dividend that we paid during Q1. Josh referenced earlier the calculation mechanics on this quarter’s supplemental dividend. And given this is the first time that NAV constraint has come into play, we thought it helpful to walk through the calculation. Based on NII per share of $0.67, 50% of the over earning against our base dividend per share of $0.39 implies a supplemental dividend per share of $0.14. That's the first part of the calculation. The second element in the calculation is specifically designed to ensure we take into account the movement in our NAV over a six months period, given that reflects the impact on NAV from unrealized and realized gains and losses, as well as the impact of the supplemental dividends.  For the purposes of calculation the NAV constraint, we compare the pro forma NAV per share at the end of Q2 of $16.28 to $16.11, which is this quarter’s reported NAV per share of $16.25, less the calculated supplemental dividend of $0.14. This represents an NAV decline of $0.17 over that period, exceeding the prescribed limit of $0.15. Consequently, the supplemental dividend amount this quarter is reduced to $0.12 per share to ensure the NAV declines constrain to no more than $0.15. As this quarter illustrates, during periods of market volatilities that result in downward pressure on portfolio valuations and unrealized losses, our supplemental dividend framework helps stabilize NAV and retain additional capital for us to utilize in more attractive reinvestment environment. Back to this quarter's results, our average debt-to-equity ratio during Q4 was 0.71 times compared to 0.91 times in the prior quarter and 0.84 times for the full year 2018. And our leverage at December 31 was 0.59 times, given the high level of repayments we experienced during the quarter. At year-end, we had significant liquidity with $752 million of undrawn revolver capacity. Given the quarter-to-debt net funding that Bo discussed, our leverage has increased since year-end and returned to approximately 0.7 times today. Again, as we experienced during Q4, the timing of repayments can be variable. However, we are encouraged by the depth of the platform today. A brief comment on our liability structure as we have developed this extensively over the past couple of years. Just last week, we closed and upsizing and extension of our revolving credit facility, increasing commitments to 1.17 billion, increasing the accordion to allow for commitments of up to 1.5 billion and extending the final maturity to February 2024. The remaining key term, including pricing, remain unchanged. In December this year, we have the maturity of our $115 million convertible notes. Given the significant available liquidity and low marginal cost of funding under our revolving credit facility, our base case is to refinance our 2019 notes using our revolver. However, should conditions in the debt capital markets become more favorable than they are today, we would look to issue new unsecured notes. We believe our investment grade ratings from four rating agencies, Moody's, S&P, Fitch and Kroll provide us with a competitive advantage in accessing lower cost funding relative to the majority of the BDC sector. We are also mindful of maintaining an appropriate mix of secured versus unsecured debt to ensure funding diversity for our business from both the sourcing and the maturity perspective. I'd like to take a moment to discuss our interest rate swaps and the downside protection feature of this risk management practice. As you may be aware, we implement fixed to floating interest rate swaps on our fixed rate liabilities to match the floating rate nature of our assets. And falling interest rate environment, which is typically coincides with periods of weaker economic sentiment, the cost of our liabilities will decrease in line with the drop in LIBOR, while our asset yields will only decrease to the extent LIBOR reaches the average LIBOR floor that we structured into our investments, thereby providing net interest margin expansion for our business under both conditions. Moving on to our operating results detailed on slide 11. Total investment income for the first quarter was $74.7 million up $11.7 million from the previous quarter. Breaking down the components of income, interest and dividend income was $52.1 million, down $4.6 million from the previous quarter, driven by the decrease in the average size of our debt portfolio. Other fees, which consist of prepayment fees and accelerated amortization of upfront fees from unscheduled paydown were $21.2 million for the quarter compared to $5.2 million in the prior quarter. Circling back to what Josh discussed earlier, $15 million of this quarter’s other fees were embedded in prior quarter’s unrealized gain and unwound this quarter as we recognize fees upon investment realization. Other income was $1.5 million for the quarter compared to $1.2 million in the prior quarter. Net expenses, excluding management and incentive fees for the quarter were $13.2 million, down from $15.7 million in the prior quarter, primarily due to lower interest expense and other operating expenses. Interest expense decreased by $1.5 million, as a result of the decrease in the average debt outstanding during the quarter. Our weighted average interest rate on average debt outstanding increased from 4.3% to 4.5% quarter-over-quarter due to an increase in the effective LIBOR across our debt instruments and a shift to a higher unsecured funding mix. This shift being caused purely as a result of the payoffs we experience on the asset side. As we relever, we would expect to see a benefit from a shift to our lower cost revolver funding. On our previous call, we announced our revised financial policy of 0.9 to 1.25 times target debt-to-equity ratio in conjunction with our reduced asset coverage requirement, which was made in -- effective in October through a special meeting of our shareholders. Our balance sheet leverage during the quarter and the year-end was below our revised target range, which is consistent with our disciplined approach to capital deployment in today's late cycle and competitive environment. Certain aspects of the current competitive market dynamics persist, we believe it is prudent to continue to operate slightly below our new target leverage range to reserve capital to invest in higher ROE opportunities. Before I pass back to Josh, let me provide an update on the ROEs of our business. In 2018, we had the best of both worlds from an ROE perspective. We were able to operate with meaningful financial leverage through most of the year, while generating strong fee income from repayment activities, the bulk of which occurred during the fourth quarter. As we look ahead to full year 2019, based on our expectations over the intermediate term, the net asset level yield, cost of funds, and financial leverage of 0.7 to 0.75 times that may be slightly below our new target range, we continue to expect to target a return on equity of 11% to 11.5%. Based on our pro forma year-end book value per share of $16.13, this corresponds to a range of the $1.77 to $1.85 full-year 2019 net investment income per share. Should the market opportunities that allow us to operate at the higher end of our new target leverage range, we would expect to drive up to approximately 250 basis points of incremental ROE for our shareholders. As we said before, if we believe there is sustainable increase in the earnings power of the business by operating in our target leverage range for an extended period of time, then we would look to resize our base dividend in context of the underlying earnings power of the business to ensure we’re optimizing cash distribution and satisfying risk related distribution requirements. At year-end, we had $1.22 per share of spillover income. We will continue to monitor this figure closely as part of our ongoing review of our distribution strategy. With that, I'd like to turn it back to Josh for concluding remarks.
Josh Easterly: Thank you, Ian. 2018 has been a productive year for our business. Despite the challenging competitive environment, we generated net portfolio growth while maintaining a high degree of investment discipline and productivity, as reflected in our portfolio metric and yields. From a balance sheet side in market, we completed a small secondary equity issuance that was immediately accretive from earnings and book value basis. We do have a return on net asset value of 12.1% versus a return on equity base of net income of 11.6% for the full year. We also completed two opportunistic debt capital market transactions, in January with our inaugural unsecured note issuance and in June with the reopening of our 2022 convertible notes. Both of these transactions have minimal drag on ROE and enhance the funding diversity of our business. Finally, as mentioned, we were successful in obtaining on our stakeholder support for access to increase financial flexibility, which not only provides regulatory relief for our business but also the potential to drive incremental ROEs for our shareholders. As part of this process, we were one of a few BDCs to maintain investment grade ratings profile from both S&P and Fitch and we also added investment grade ratings to Moody's and Kroll during the year. As a result of the groundwork we did in 2018, we enter 2019 well-positioned to serve our clients and create high risk adjusted returns for our shareholders. Before taking questions, I’d like to touch upon a regulatory topic affecting BDC investors. As most of you are familiar, in December, the SEC issued a release proposing a new 3% rule that would allow ‘40 Act companies to own more than 3% of their outstanding shares of other investment companies. However, this new proposal as drafted, requires a fund to own more than 3% of another fund -- of another fund to vote those shares in a manner consistent with a broader voting outcome where we see voting instructions from their own shareholders in both properties accordingly. While this new rule, like the extension of BDCs from the acquired fund fees and expenses could potentially improve institutional ownership of quoting and valuation for the BDC sector. We believe that proposed voting restrictions continue to handicap the ability of investors to drive positive change through governance, to the detriment of all shareholders across the sector.  Since our IPO, the BDC sector has generated an average annualized return on equity well below the cost of capital and accordingly trigger the meaningful discount to book value. During this period, there hasn’t been any meaningful consolidation in the BDC space, given the ownership and voting impediments of the 3% rule. We applaud the SEC’s focus on this area, but only the new 3% rule as currently proposed, continues to affect the governance in our sector. We will be submitting our comments to the SEC regarding this topic and will post our letter to website. We encourage our listeners to visit see the SEC website to also comment on this proposed fund or fund arrangement rule.  With that, I’d like to thank you for your continued interest and your time today. Operator, please open the line for questions.
Operator: Thank you, sir. [Operator Instructions] And our first question will come from the line of Rick Shane with J.P. Morgan. Your line is now open.
Rick Shane: Hey, guys. Thanks for taking my questions this morning. Two things. First of all, on slide 16, you show both the ending debt-to-equity and average debt-to-equity. And I understand in the quarter like the fourth quarter where you had net repayments, why the average would be above the ending. But, it's consistently above the ending, and I'm curious what drives that.
Josh Easterly: Hey, Rick. So, I can answer as it relates to Q4, and then we’ll come back to you on historically. So, Q4, we had a decent amount of prepayments -- sorry, Q4, we had a decent amount of prepayments at the beginning of the quarter and some at the end. So, it’s just a matter of where it falls quite frankly in the quarter. But, we will come back to you with the exact data. We calculate it on average daily basis, right, Ian?
Ian Simmonds: Yes. So, I mean, technically, we don’t calculate equity on a daily basis, but we do have the cash balances and the drawn amount on the revolver. So, that’s a true number. But, if you were just to look it out equity balance between 9/30 and 12/31, it doesn’t really change that much.
Rick Shane: Okay, got it. And then, second question, you guys in your fair value approach incorporate liquid markets in a fulsome way. I’m curious, can you help us understand how to think about those inputs, how granular is the approach? Are you looking at those inputs, those market inputs based on sector and type or are you just using an overall spread? And what should we use as a benchmark and what should we think about as beta.
Josh Easterly: Yes. So, great question, so very good question. So, first of all, let me take a step back and talk about philosophy. The philosophy is, is that the broadly syndicated markets after we collect those, as we discussed, the collective insights of a range of investors on the credit risk premiums required for the possibility of default and probably default and the last given default [ph] anytime. And this idea that broadly -- that middle market is insulated from risk premium because it doesn’t trade is a little silly to us. It’s silly in a couple different ways. One is, it’s silly in a sense that you as -- given the fee structure embedded in the fees and the fee structure embedded in private fund, you have to earn an illiquidity premium to provide value to underlying clients. And if you’re in that illiquidity premium, think of it is stable over time, but the underlying reference isn’t. So, you got to be thinking about for you to create value for your underlying shareholders or LPs and private funds, you better be thinking about the value proposition as it relates to -- given where you are in the cost curve, as it relates to the underlying reference credit risk premium. The second piece is, is that you got to think about -- if you don’t mark your book, you’re missing the market signals, both as it relates to risk or opportunities. And so, it’s not only a GAAP valuation policy for us but it relates -- it’s really a risk management policy. Now specific to your question, it’s pretty granular. So, we look at underlying -- based on sectors and based on broadly syndicated comp credits, those sectors and where we’re investing the capital structure. We look at those moving credit spreads and then roll those moving credit spreads across the weighted average life of an individual investment. So, the way I would think about it is the beta -- is sort of broadly syndicated market is probably 50%, somewhere between 30% and 50%, which is a function of really that we have a shorter weighted average life of our portfolio, given capital structure, maturity et cetera. And so, obviously, if you have a company that has a maturity in a year, it's going to have a lot less dollar price movement than if you company that has a maturity of eight years, which we have none. But, when you look at the beta or the mark, the spreads are completely incorporated on the bonds and paces and that -- if there is a difference as it relates to the weighted average life of an individual investment. Does that answer it, Rick?
Rick Shane: It absolutely does. It’s a very helpful answer. Thank you so much.
Josh Easterly: And one other comment just on the spreads. What really had the impact is it really -- if you think spreads normalize, it really has the impact of moving earnings on a net income basis from 2018 into 2019. You saw this with -- if you look back, you saw this with us in 2015, fourth quarter of 2015 spreads rollout. And they recovered starting in Q2 ‘16 and through the rest of the year. So, net income in 2016 significantly outpaced net investment income. And so for example, I think, ROEs in 2016 on net investment income were up by 12.1%. ROEs on net income was 15.4% that year, you had $2.34 on net income and $1.83 net invest income and that was basically a shift between ‘15 and ’16. And so, the credit quality of the book continues to remain very, very strong. Again, we cage, both the risk management aspect and the fair value aspect of marking our book seriously.
Operator: Thank you. And our next question will come from the line of Leslie Vandegrift with Raymond James. Your line is now open.
Leslie Vandegrift: Just a quick follow-up to that on the spreads and the impact to the portfolio. Just roughly, how much of that do you think -- that impact to the fair value mark has reversed so far in first quarter of ‘19?
Josh Easterly: Look, I gave you the estimates. We think it's probably 40% or 50%. So, Q4 first lien spreads were LIBOR 49; today, they’re LIBOR 400; second lien spreads were 9.28 and 9.16. This probably has a couple of days ago. That would imply about probably 40% to 50%. So, think of it as $0.10 to 0.12 per share if we ended the quarter today. So, who knows what the market holds. But, you would expect with the quarter ended that you would have a decent amount that roll back through and reverse.
Leslie Vandegrift: And one of the new investments in the portfolio for the quarter, prime revenue, it's had a pretty well cash coupon it looks like, L plus 350, but then it’s also got 5.5% pick. Can you just give some color on the investment?
Josh Easterly: Sure. And I’ll let both hop on. Look, primarily, there is software business in the financial services that is a -- we think is a really, really super attending business. The supply chain finance company, it offers the SaaS based products which connects buyers to suppliers and funders in kind of the reverse factor in the marketplace. The return on invested capital in that business is very, very high to acquire new customers. And so, we’ve allowed them because it’s credit enhancing and the returns are still high to continue to take excess cash flow and go in acquire new customers. If you run that business like on a steady state earnings basis where they are not growing but -- and given there is 50 underlying customers base, I think it looks like 2.5 or 3 times levered, if memory serves me. And the interest coverage was significantly high. So, for us, it’s a really, really interesting business that has high return on invested capital, 50 embedded customers that you could -- the Company could run at significantly higher free cash flow margins, if they weren’t growing new customers -- and the return on those new customers were very high. Bo, anything to add there?
Bo Stanley: No. I think that’s exactly right, just reiterating. This business is running on a steady state basis. We believe it would be between 2 and 3 times levered. But, because of the strong return on invested capital, we allow them to reinvest those dollars back into the business and drive further margins.
Leslie Vandegrift: Thank you. And two of the exits for the quarter, happened to fall in why you guys call, marketing or marketing services in the portfolio. Was there any connection there or was that just it happens to stand that they all occurred in the same quarter.
Josh Easterly: It happens to stand.
Leslie Vandegrift: Okay. And then, finally, you had one new energy investment in the quarter, MD America. Was that opportunistic given the way that energy, oil has been moving the last four months, I guess? And if so, what’s the kind of thought on that going forward?
Josh Easterly: Yes. So, opportunistic. Look, on upstream E&P, we’ve historically done very well, access to the resources, to be open and honest as we always are. But, we have a lot of historical, a lot of net P&L even incorporated in unrealized losses, realized losses in the sector. So, we like to end that in today’s commodity price environment, not in a commodity price environment that’s 30% to 40% higher. And so, you would expect it to continue to do more opportunistic stuff in energy, given today’s commodity price and quite frankly where those assets that are producing in low cost basin with hedged collateral cash flow. 
Leslie Vandegrift: Okay. Thank you. And then, just finally kind of on that point, was there any other opportunistic investments that were simply because of the market volatility either at the end of last year or even so far in first quarter?
Josh Easterly: Look, at first quarter, our pipeline is really strong. I think, Bo talked to you -- or Bo and -- combination of Bo and Ian have talked about it. We already have a $100 million of net funding this quarter. The pipeline on the opportunistic side is actually very, very strong. And so, that volatility -- it wasn’t like Q4 quite frankly, it was December. It didn’t really last long; they snapped back. But, we continue to -- we fell really good about pipeline and continue to drive value, both on -- as it relates to both our sponsor business and opportunistic business, but the pipeline feels pretty good, both on the retail side -- and specifically on the retail side.
Bo Stanley: That’s right, Josh. I think we’ve seen market equity picking up in the retail ABL, some of those semantic origination sources on the opportunistic. I think, in addition to that. After a relatively slow December because of the market volatility in M&A, we've seen a pickup in the pipeline. So, we’re very encouraged by both the breadth and depth. And the stage where our pipeline is at today, it's a very competitive environment. We’re always going to be very-disciplined with our shareholders’ capital, but we feel very good about the depth of the pipeline.
Operator: Thank you. And our next question will come from the line of Terry Ma with Barclays. Your line is now open.
Terry Ma: So, I am just curious, to the extent the competitive environment doesn't change or it gets more competitive, how do you guys think about growing and investing or to maintain a portfolio and sustain ROEs going forward? Can you just talk about some of the things you 're looking at?
Josh Easterly: Sure. So, first of all, the earnings estimates or thoughts that aren’t provided on return on equity, was really -- I would say, assuming the competitive environment as of today. And I think it had the assumption of us running only 0.7 times leverage which quite frankly is where we are today. And so, the idea that we can earn 11% to 11.5% ROE, while improving the quality of our books, and not forcing us to grow, we think that’s a very good of value preposition for shareholders in today's late cycle market. And if there are opportunities to grow that are accretive to ROE, we feel very -- that will obviously drive incremental return to our shareholders. So, at the top end of our target range, that’s another 250 basis points of ROE expansion above the 11% to 11.5%. So, it’s not as long time, we like to under promise and hopefully over deliver. And quite frankly, the 11% to 11.5% ROE is basically on a growth case. And we would be running the business -- we think we have obviously the quality of the platform and the underlying strategies to do that in today's competitive environment and then provide upside for shareholders in an environment where there is more volatility for us to continue to drive -- for us to lever the business and drive incremental ROE.
Terry Ma: And then, you mentioned earlier that spreads kind of normalize and be accretive on a net income basis. Can you just give me an idea what the magnitude is when we refer to normalization?
Josh Easterly: I think what we said -- I don’t know what normal spreads are, to be honest with you. So, spreads should be a function of people’s expectations of default and people’s expectations of -- and I’m not sure what the rest of the world things about this, but this is how it should work. Spreads are compensation for people who take credit risk, spreads should be a function of the expectations for default and the losses given default. And so as people’s perception of defaults go up, and people’s perception of the -- that recoveries go down, and so there is credit losses, that spread should go up to compensate lenders or investors. So, the idea of normalized spreads is really a function of the inherent risks for taking credit risks. What we did say was that spreads have snapped back between the end of Q4 and as we sit today. And so, given -- that’s a function of a more accommodative spread, and that obviously rising rates hurt investments, consumers, increases the required return on capital investment and has an impact of slowing economy. So, economy is fact that has pushed -- has a perception of pushing out any type of economic recession or credit cycle. And so, spreads have come back in, given the effect accommodative spread. And if you were to run those spreads to our portfolio today, you have $0.10 to $0.12, the reversal of that $0.23 in Q4 that would run through NII in Q1. But, the idea of normalized spreads is really a function of defaults and losses are. 
Operator: And our next question will come from the line of Christopher Testa with National Securities. Your line is now open.
Christopher Testa: Josh, I appreciate your comments and your actions on actually valuing the portfolio. I know you answered risk question relations just before, but just expanding on that a little bit in mid ‘15, in early ‘16 when spreads widened, BDCs were not citing insulation generally and a lot of your peers were still accordingly marking their books. But thus far the one that reported, it’s basically just been you guys at this point. Just wondering, if there is any inkling of merit to them citing that or whether this is just kind of a likely a shift in what they are looking at?
Josh Easterly: Yes. So, my memory is to the little bit -- I have seen a lot of spread across -- look, we used to do this, which was -- we used to keep track of club names where we had in our portfolio where we shared investors across the BDC sector. And what you historically have seen was the sector keeping every single investment at the prior quarter’s mark. So, our mark would ago from ‘99 to ‘98 to ‘97, the prior to ‘99 and the reference that we would leave at par. So, we would actively mark our book based on credit spreads. Ad people would often say to us why you not trade below book value, we would say well because we mark our book. You’re going to mark your book and the market’s going to mark it for you. And so, my memory on ‘15 to ‘16 is a little different. There has been a kind of competition for middle market loans. What I would pause at is, is that middle market loans by their nature haven’t been insulated to increases in leverage -- haven’t been insulated from loosening of credit documents. There are typically smaller companies who have probably slightly more volatile market position. And so, I would argue that even if there has more competition -- and because of other technical side of capital raising and in middle loan. People will long-term provide value to both shareholders or their LPs, they better look at giving it a liquidity premium, both to compensate for additional credit risk because of middle market, second to provide for that you having less option value to reinvest your capital because there is not a buyer for that loan. And third, to make up for where you used to have the cost curve because people can buy a portfolio of broadly syndicated loans, way cheaper than they can through BDCs. So, people are trying to create -- to get access to credit risk premium because they think credit risk premiums are valuable or intricate at times, they better understand what it’s in the cost curve as well.
Christopher Testa: That’ great detail, Josh. Thank you. I appreciate your answer on that. And sticking with the theme of volatility in the liquid markets. Is it fair to say that if this were to sustain for a longer period of time that potentially you could see more sponsor backed companies valuing certainty of close more than they do currently kind of in a more complacent environment or do you think that's sort of the same with you as the sponsors that you tend to come across?
Josh Easterly: No, I mean, I think quite frankly, when you're seeing market volatility, we've moved up company size, people start valuing certainty more. And quite frankly, we also historically -- although this time snapped back very quickly, in longer periods of volatility, we've created a ton of value by buying names at secondary markets at discounts. And so, by the way, that is the other reason why people should mark their book because if they don’t mark their book, they miss the opportunity to create on a relative value basis a whole bunch of value for their shareholders. And so, -- if volatility is the same it's larger -- the play book is larger companies providing certainty and paying for certainty, and finding names at discounts that we know that have big margins of safety that have -- were previously middle market borrows, now are probably syndicated borrowers where we can buy at discounts ultimately for the par. So, a lot of value creation between 2015 and 2016, our business, were those two things.
Christopher Testa: And, I know you guys have said that that your plans for the 2019 convertibles coming due is to use the revolver which is obvious. But my question is, when you look at what would be a more favorable place, obviously you could one of two ways, right? You could either have much wider spreads where you are going to bite a bullet on a higher borrowing cost and just issue the notes in that environment or spreads come in and you’ve got kind of crappy reinvest environment able to issue those notes cheaper. If the one is more favorable than the other than you are looking at for [technical difficulty]
Josh Easterly: Yes. I think, I’ll let Ian hop in, but let me give you overlay which is the business is really, really set up to provide optionaltiy, which is today our liquidity, Ian, is probably…
Ian Simmonds: We have 750 at the end of the year but then we upsized our revolver by 230 million. So, it’s a significant balance of liquidity, even accounting for the funding…
Josh Easterly: Right. So, there is probably 800 plus million of liquidity today which really gives us the optionality to create value. Our marginal cost of funding on our revolver, when you think about it, the spread is 187.5, going to 37.5 basis points. So the marginal cost is really LIBOR 150. And so, the base case, if you have to put the more favorable environment, it’s clearly given our liquidity profile and how we position the business is that loan out spreads. We just expand our revolver and funding in that environment where the spreads going out funding the portfolio at LIBOR 150 given that we have a lot of optionality on the reinvestment side given the duration and cost of our revolver.
Christopher Testa: Okay. And if you guys do indeed go the route of another unsecured note, is it safe to say that you would swap out the fixed rate portion of it?
Josh Easterly: Yes. Look, here -- Ian talked about this, here is our philosophy. I mean, we are downside people. I mean, it comes across our business, it shows I think in the performance of the business, the ROEs and the credit of business. And so, when we’re making that call, we basically have come to the belief that we have a core competency of originating and managing credit risk and corporate loan. We don’t have a core competency on competing against central government as it relates to playing the rate game. So, we’re a spread business. And in an environment where if you were not -- if your lien is fixed, you’re making an input of that, you might not know that rate is going to rise, and we’re not making that bet. So, the trade we’re making is we’re giving up a little bit of upside of earnings expansion in a environment where rates continue to rise. But quite frankly what we’re gaining is in the downside because we have floors in our assets that we had manage with margin expansion at the time we most need it, which is in a downside where you have credit issues. And so some of that net interest margin expansion really offset -- has a potential offset your credit issues. And if you do not do that, where you end up with is that you would have the fix rate -- you would have floating rate, you would have a fixed rate cost structure and at the downside, you would have net interest margin get higher at the time you have credit issues. That seems like a you risk-reward proposition for shareholders, even though that if you’re optimistic the world keeps going up into the right and rates keeps going up in the right. We rather give up that corner case of upside but really create value in the downside for our shareholders.
Operator: Thank you. And our next question will come from the line Michael Ramirez with SunTrust. Your line is now open.
Michael Ramirez: It seems financial services has increased as part of your overall portfolio. Could you please help us understand the great opportunity you may see within this industry?
Josh Easterly: Let me turn it to Bo. Financial services, I think is a little bit of the top way to frame it. What they really are is business services or integrated software payment businesses that would generally fit inside the financial services. So, Bo can talk about, one, maybe PaySimple and I'll talk about GTreasury. GTreasury is really a treasury management software business that is obviously part of the financial services ecosystem. And so, don’t think of these as balance sheet credit investments. These are companies that are not getting credit risk that don’t have balance sheet but that are part of a broad financial services ecosystem going. Bo, do you want to talk about PaySimple?
Bo Stanley: Sure. As Josh mentioned, this is part of a broader theme that we've had over the last five years between the intersection of technology and software, businesses and payments where we saw the adoption cycle of B2B payments lagging little behind the B2C consumer. So, it’s an area that we focused on investing. PaySimple is a great example of that which is a business that provides software solutions to small or medium sized businesses that help to run their businesses on a day to day basis, very deeply embedded software. They also overlay in payments engine that allow their service providers to take payment upon delivery of services, which creates a very sticky and growing recurring revenue stream with -- characterized by high free cash flow and high returns on invested capital. So, this is a theme that we’ll continue to be active in, as we’re in the early stages of this adoption cycle.
Michael Ramirez: Makes sense, thanks for that. And I guess it helps with your extensible portfolio given this current environment. And we may have sort of touched on this a little bit in your comments and some of the answers. But, given you remain prudent to operate below your targeted leverage range, could you please lay out some parameters or conditions, both internal or external you would consider operating at both the lower end and top end of your new target range in 2019?
Josh Easterly: Sure. So, let me -- it might be helpful to talk about philosophically. Look, so, the -- if you think your late cycle, the way you express risk or the way we express risk is what sectors we invest in, where we invest in the capital structure, and what our financial policy is. And so, that is a -- you've seen us move up the capital structure, you've seen us take less risk as it relates to cyclical businesses and you've seen us not lenient to the new financial policy to grow assets. And that's the function of our expression of risk and where we think we are in the cycle. And so, in an environment where risk premiums are more compelling, so spreads are wider, where there is fear, you will see us change on all three of those fronts. So, you will see -- for example, in 2011 and 2012, I think, our biggest portfolio positions, if my memory serves me with Mannington Mills, which is building products business and Federal Signal which was selling capital equipment into municipalities. And so, you will see us move more cyclical, that you will see us move down the capital structure, and you will see us lean into our financial policy a little bit. So, for us, to lean into our financial, you would have to see a better risk reward environment, where quite frankly the thing I hope the sector realizes is that guess of the -- the sector -- it has a variable -- a very valuable place for shareholders as long as they understand that they don't lean into their financial policy and take their leverage up to the maximum and keep that reinvestment option to create value in a wider risk premium environment. And so, prior to global financial crisis and under the old regulatory regime, that sector didn't have the option to reinvest. And so, what ended up happening, if you're running 0.85 times leverage and you had -- were worried about your leverage as you're going through the down cycle, you had no ability to create value in a higher risk reward premium. The one exception would be Ares. Ares did fantastic job through M&A, through Allied specifically where they were able to effectively buy assets at low prices and low valuations at that time of the cycle. If you are able to keep that reinvestment option open, that sector's earnings power, its ability on net asset value will be much greater than the net cycle and quite frankly that was a gift from the regulators in the SEC.
Operator: Thank you. And our next question will come from the line of Derek Hewett with Bank of America Merrill Lynch. Your line is now open.
Derek Hewett: Could you talk about the growth in the portfolio yield on a cost basis? I know it's still early in BDC earning season, but it looks like the pure average is down about 10 basis points versus the 40 basis point increase that you guys witnessed this quarter. Was that a function of just the prepayments? And then should we expect the yield to normalize a little bit lower going forward?
Josh Easterly: Yes. So some of it was a function of LIBOR, right? So, thank God, we had asset sensitivity. We don't employ [ph] weighted assets, LIBOR. Effective LIBOR on our portfolio contributed about 30 basis points and then new versus exited was about 10 basis points.
Operator: Thank you. And our next question will come from the line of Fin O'Shea with Wells Fargo Securities. Your line is now open.
Fin O’Shea: Just first, you've touched on this and a lot of vantage points, but specifically this quarter what prevented you according to your views of the technical soft and liquid markets and the private credit staying the same? What prevented you from leaning into loan or bond markets?
Josh Easterly: You mean what prevented us from go and buying a ton of broadly syndicated loans or bonds in those basically two weeks in December?
Fin O’Shea: Yes.
Josh Easterly: I would say, it was two weeks.
Fin O’Shea: Sure. Okay so the time period -- so if this lasted three or four months?
Josh Easterly: Yes. You saw what we did in 2015 and 2016. We built that portfolio I think in predominantly Q1 ‘16 but like two weeks is not a lot of time to make educated calls on any of the credit names which we operate our business. We don't operate our businesses and say, God, there is a technical cost that market seems cheap, let's go buy an index or a basket of bonds of broadly syndicated loans and with the hope that things are now back. What we say is, look people are not appropriately pricing middle market loan, let's go find idiosyncratic credit names that we know very well that are mispriced because of that technical or because of that sell-off in the broadly syndicated market where we have a differentiated view either because we know the sector, we know the industry, we've financed the company previously where we can create value. And so we're not guys that say, they seem cheap. We're guys that say, that name seems cheap based on the work we have done.
Fin O’Shea: Sure. This is fair enough, certainly. And then just another question, going back to one of your answers to Rick Shane earlier in the call, I think you mentioned how the spread impact is less on those names maturing nearer term. And when I look, you have a good slate of names maturing in the next say, 18 months one of which was restructured this quarter. So understanding that your portfolio companies are not agented, they're not as fluid on the capital structure side. How do you feel about your deeper vintage and their ability to find financing options before maturity?
Josh Easterly: So, I'm trying to follow the question because it kind of wiggled and waggled. But -- so let me do my best. So first of all, our companies are -- predominantly we're the agent on our company. If you look at the remaining 2014 vintages that are not controlled through an investments which we obviously control the financing of, that is Finnair and Insurity. And Finnair and Insurity are both really good performing names that will have no problem of refinancing. And so there is -- or my point to Rick was -- Rick's question was, how I think -- I don't want to put words back into his mouth, but Rick's question was how should we think about the beta, how much beta are you taking up credit market through your book and is it dollar price, is it spread price, is it duration? And the answer is bottoms up name by name and the amount of dollar price movement is a function of the underlying weighted average life of those investments.
Fin O’Shea: Sure. That is helpful. And then just one final question, if you don't mind on the 3% rule. Do you think that everything just kind of anticipating what comments you might put out and how the community may receive those? Would you say simply that the current proposals are solid except for that the mirror voting stays in place, or do you think there's a better way for the community to look at that fund rule reform?
Josh Easterly: Look, I would say look that sector has made great progress in a whole host of areas as it relates to regulation. Obviously the financial flexibility as it relates to the additional leverage I talked about, which is quite frankly creates a ton of value to the sector if they preserve that reinvestment option in a market downturn, i.e. they don't get fully levered today. They're making progress in AFFE and 3% rule as always it's been top of our issue. So the way we think about the 3% rule is not shockingly the industry has been mixed, which I would say the underperformers in the industry have viewed the 3% rule as a way for the remaining trends. And for us the 3% rule is simple, which is this sector doesn't have the ability like the rest of sectors to take out excess capacity. And so you end up having in the sector ROE, the effective trade below book value, the ROE is below the cost of capital to me, which means the sector has too much capacity, and the 3% rule is the biggest impediment for it to take out capacity because what you would have in any other industry you saw it from paper and packaging et cetera, you would have activism or shareholders' involvement and governance to actually force M&A, the forced rationalization of capacity and you haven't had that in this industry. And so, if the 3% rule was changed tomorrow what I think you would see is behaviors change and capacity come out of the industry and returns go up to the sector, because capacity comes out. People buying back shares below book value in size, because they will be afraid of shareholders' involvement in the governance process, and so you end up having three elements, which is you have the 3% rule, which you don't really allow for active involvement for shareholders because it's hard to have an active involvement of shareholders, you have the 40 Act rule that relates to voting, so they are terminating management contractors majority of shareholders, which is hard or 66% of the quorum, which is impossible and then you have [indiscernible]. And so, 3% rule seems like you are not going to change the 40 Act, 3% rule seems like the easiest path that creates -- to take out the excess capacity in the industry. And by the way a lot of the industry is not going to like that.
Fin O’Shea: Of course. And it sounds like you would have a few more BDC investments if that was allowed today. Just a comment, not a question. Thank you so much.
Josh Easterly: Yes.
Operator: Thank you. [Operator Instructions] Our next question will come from the line of Mark Hughes with SunTrust. Your line is now open.
Mark Hughes: Hi. Thank you. Good morning. You had mentioned of the opportunistic investments you've got the very attractive return. Is this the reason why you don't do more, is there just the natural higher risk associated with those?
Josh Easterly: I don't think there is higher risk, it's just tough -- look, it's a tough business to scale. And they tend to be a little bit shorter duration. And so the impact of our portfolio -- the percentage of our portfolio will always be smaller given that they tend to be more transitional capital nature. And so, the mix is important. What I would suspect is that in a time when there is -- when there is volatility, hopefully our clients will value certainty in times where there is real credit issues opportunistic, I think will be a bigger part of our book as long as we provided certainty to our sponsors because they’re kind of correlated.
Operator: Thank you. And I'm showing no further questions at this time. So, now, it is my pleasure to hand the conference back over to Joshua Easterly, Chief Executive Officer of TPG Specialty Lending, Inc. for closing comments or remarks.
Josh Easterly: Great. Well, we appreciate super thoughtful questions on today's call. We really appreciate everybody's participation. Obviously, people can reach out to myself. Mike Fishman is here. We didn't give -- I didn't give Michael a word today, but Mike is here. You can obviously reach out to Mike, Bo, myself, Ian, Lucy. I want to thank Ian and Lucy for all their efforts in putting this quarter together. Again, thanks everybody and feel free to reach out. Thanks, everyone.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude our program and we may all disconnect. Everybody, have a wonderful day.